Executives: Michael D. Hayford - Chief Financial Officer and Corporate Executive Vice President Mary K. Waggoner - Senior Vice President of Investor Relations Gary Norcross - Chief Operating Officer and Corporate Executive Vice President Frank Martire - Chief Executive Officer, President, Director and Member of Executive Committee
Analysts: Greg Smith - Sterne Agee & Leach Inc., Research Division Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division Bryan Keane - Deutsche Bank AG, Research Division Peter J. Heckmann - Avondale Partners, LLC, Research Division Julio C. Quinteros - Goldman Sachs Group Inc., Research Division Glenn Greene - Oppenheimer & Co. Inc., Research Division Daniel R. Perlin - RBC Capital Markets, LLC, Research Division Ashwin Shirvaikar - Citigroup Inc, Research Division Brett Huff - Stephens Inc., Research Division Tien-Tsin T Huang - JP Morgan Chase & Co, Research Division David Togut - Evercore Partners Inc., Research Division David J. Koning - Robert W. Baird & Co. Incorporated, Research Division
Operator: Ladies and gentlemen, thank you for standing by, and welcome to the FIS Third Quarter Earnings Conference Call. [Operator Instructions] As a reminder, today's call is being recorded. Your host and speaker, Senior Vice President, Investor Relations, Mary Waggoner. Please go ahead.
Mary K. Waggoner: Thank you, Kevin, and welcome to everyone joining us this morning. With me today are Frank Martire, President and Chief Executive Officer; Gary Norcross, Chief Operating Officer; and Mike Hayford, Chief Financial Officer. Before we begin, we ask that you please mark your calendar for our Analyst Day, which is being planned for February 14, 2012, in Orlando, Florida. The event will coincide with our fourth quarter earnings release. And we will be sending out registration details in the next few weeks. Now we will proceed with the third quarter earnings report. Today's news release and supplemental slide presentation have been posted to our website at fisglobal.com. A replay of this webcast will be available shortly after the call. Please refer to the safe harbor language on Page 2 of the presentation. Today's discussion will contain forward-looking statements. These statements are subject to risks and uncertainties as described in the press release and other filings with the SEC. The company undertakes no obligation to update any forward-looking statement, whether as a result of new information, future events or otherwise, except as required by law. Today's comments will focus on results from continuing operations and will include references to non-GAAP financial measures in order to provide more meaningful comparisons between the periods presented. Reconciliations between GAAP and non-GAAP results are provided in the attachment to the press release and the supplemental slide presentation. I will now turn the call over to Frank Martire for an overview of third quarter results.
Frank Martire: Thanks, Mary. Good morning, everyone, and thank you for joining us on today's call. I will keep my remarks brief to allow plenty of time for your questions. I will begin the discussion with a brief summary of our third quarter financial results and business highlights. Gary will follow with the operations report, and Mike will provide additional insight into our financial results and our outlook for the remainder of 2011. We will also share some preliminary thoughts on 2012.  Overall, we are pleased with our solid top line performance and strong growth in earnings per share. Revenue increased to $1.4 billion in the quarter, representing organic growth of 4.1%. Our results were driven by continued strong performance in our International business, which grew 21.9% on an organic basis. Earnings per share increased 19.2% to $0.62 in the third quarter, and free cash flow were strong at $193 million.  We continue to compete very well on the strength of our solutions. We added several new clients during the quarter, including KeyBank and Berkshire Bank in North America, as well as new clients in Germany. Gary will provide additional sales highlights a little later on the call.  We believe that our growing global footprint and our International business in particular provide us with a strategic advantage over our competitors. We also continue to look for opportunities to augment organic growth to internal investment and targeted acquisitions. As in the past, we will be disciplined in our approach, and we will apply our cash and debt repayment or share repurchases if we cannot find deals that fit strategically, financially and operationally. We repurchased approximately $181 million of stock in the third quarter and have another 7 million shares remaining under the February 2010 authorization. Additionally, as we announced this morning, our board has approved a new $500 million share repurchase plan, which at yesterday's closing price represents approximately 19 million additional shares. Looking back on the first 9 months of the year, the team has driven solid organic revenue growth and managed the business very well in a difficult economic environment. We are proud to be ranked as the #1 provider on the 2011 FinTech 100, which is a result of the continued confidence that our clients have in us. As we look ahead to the fourth quarter and 2012, we remain focused on helping our clients meet their overall business objectives and on driving higher revenue and earnings growth and a strong free cash flow.  Now Gary will continue with the business report. Gary?
Gary Norcross: Thank you, Frank, and thanks to everyone on the call. I'll begin today's review with an overview of the global sales climate, followed by the operating highlights. We see continued investment spending by financial institutions despite persistent economic and regulatory challenges. We are pleased with the progress we are making to gain additional share in the large financial institutions and International markets. The demand for our professional services remains strong and continues to grow on a consecutive quarter basis. We are also seeing increased interest in back-office outsourcing and managed IP services. For example, a top-tier bank in North America recently opted to outsource a substantial portion of its statement production and mail services to FIS, which will drive meaningful cost savings for the bank and generate a reoccurring revenue stream for FIS. This services growth is offsetting the declines in license sales as our clients seek to leverage our global scale and processing capabilities to execute their business strategies. Earlier this year, we discussed the brand's strength of our TouchPoint channel solution in the large bank market, including a new agreement with the Bank of Oklahoma. I am pleased to announce that the First National Bank of Omaha, with $17 billion in assets, will deploy TouchPoint in its more than 140 branches in 7 states in 2012, replacing its existing in-house teller platform.  As Frank mentioned, our International business continues to perform very well, providing FIS with a strategic advantage over other providers. We are now seeing increased demands for both core and Payment Solutions outside North America and experience growth across all major international regions in the third quarter, including Europe. We continue to make good progress in diversifying our International client base and product offerings in EMEA, Latin America and Asia Pacific. Over the past year, we have announced reciprocal ATM agreements with China UnionPay, Korea Financial Telecom and the U.K. LINK network. While we do not expect to generate significant revenue from this relationships in the near-term, we are hopeful that the increased visibility will open the door to expanded relationships in the future. Given the increased focus on European banks, I'd like to provide some additional insight on our European business. First, the majority of our revenue in Europe is generated by clients in Germany, France, and the United Kingdom. Less than 2% of our European revenue and less than 1% of our International revenue is generated from clients in Spain, Italy, Greece, Ireland and Portugal.  Second, our revenue streams are highly reoccurring. The vast majority of the services that we provide are mission critical to our clients and are not discretionary.  Finally, increased regulatory oversight, coupled with the need for banks to reassess their current infrastructure to manage costs more closely, often opens the door for third-party providers like FIS and Capco, as evidenced by the continued strong performances of both businesses in Europe. Although we have seen some lengthening of the sales cycle, we have not seen a marked decline in the sales pipeline. We continue to build on our strong market position and are adding new clients throughout Europe.  In September, we announced that DAB, a private bank based in Munich, will migrate to our core banking platform. In addition, LBBW, which is Germany's fifth largest bank, will deploy several FIS commercial treasury and global transfer solutions to support their wire transfer and direct payment operations. And earlier this month, FIS was once again recognized as the leading prepaid organization in the region. Turning to our North America business, we continue to compete very well in the mid-tier, community, and LFI markets and our winning new clients. We continue to believe that the need for banks to upgrade their technology to support their business plans will drive demand for core platform replacements. We recently announced that Berkshire Bank, a subsidiary of Berkshire Hills Bancorp, and Aliant Bank will migrate to our core processing solution. Both banks will also implement a full range of ancillary channel, EFT, network and eBanking solutions.  We continue to generate solid cross-sells and will soon begin providing ePayment and mobile banking solutions to Marquette Bank, a long-time FIS core processing client.  Over the past few quarters, we have highlighted several new bill payment relationships with top 30 banks. I am very pleased to report that in the third quarter, we successfully converted Fifth Third Bank, KeyBank and BMO Harris. In addition to electronic payments, we are also providing vendor warehousing, electronic billing and remittance services to all 3 banks. Each of these new clients previously utilized an in-house or competitors solution to perform these services. We are seeing renewed interest from financial institutions in our credit card and credit loyalty programs in response to the interchange limits on debit transactions. We completed several new client conversions in the quarter, including Amalgamated Bank, Royal Credit Union and INTRUST. We also recently extended our long-standing credit card processing agreement with the Independent Community Bankers of America. FIS is the only core provider to offer integrated end-to-end credit card solutions, which further underscores the benefits of our broad product capabilities. I'd like to leave you with the following thoughts before turning the call over to Mike for the financial report. In North America, we expect that bank consolidation will continue to create both challenges and opportunities. Future revenue streams are likely to be diminished in those instances where we are providing services to both entities. Nevertheless, we believe that FIS is better positioned than other providers over the long run, given our broad market presence and leadership in mid and large bank space. We do not believe that we are unduly exposed to the challenges confronting the European markets in light of our diverse client base and product mix. Further, we believe that our international presence will continue to be a strong growth engine for our company. Although the sales cycle is lengthened, we continue to see investment decisions being made. Additionally, the strong sales that we have achieved over the last few quarters provide us with a solid implementation pipeline. We continue to expect the challenging environment for our clients in 2012, however, given the nondiscretionary nature of our services and our strong business model, we expect that we will continue to drive profitable growth in 2012.  Now I will turn it over to Mike for the financial report.
Michael D. Hayford: Thanks, Gary. I'll begin on Slide 4. Adjusted revenue increased 10.8% to $1.4 billion in the third quarter. Organic revenue growth, after being normalized for acquisitions and currency, was 4.1%. Strong growth in International business offset difficult year-over-year comparisons in FSG, as well as ongoing headwinds within our Payments business.  Third quarter EBITDA increased 2.7% to $438 million. EBITDA margin was 30.7% compared to 33.1% in the third quarter of 2010, reflecting a higher portion consulting revenues, growth in lower margin businesses, including the resilient card operation and nonrecurring items in both periods.  These items include approximately $10 million in merger integration and severance costs in the third quarter 2011 and a $10 million benefit related to settlement of legal matter in the third quarter 2010, a $20 million swing we put into nonrecurring items. As shown on Slide 5, EBITDA margin compares favorably to the prior year when adjusted for the Capco acquisition and the nonrecurring items from both periods. Financial Solutions on Slide 6. Revenue increased 7.8% to $523 million, and increased 0.6% on an organic basis. As you may recall, FSG are particularly a difficult comparison due to a large software sale in the third quarter of 2010. Organic growth was also negatively impacted by the reduction in job scope for a large Capco client as we have previously discussed. Financial Solutions' EBITDA increased 1.9% to $224 million compared to $220 million in the 2010 quarter. The EBITDA margin was 42.8% compared to 45.3% in the prior year, reflecting the higher mix of consulting revenue and approximately $2 million of integration and severance costs in the third quarter 2011, in addition to a large license sale in third quarter 2010. As shown on Slide 7, Payment Solutions revenue totaled $604 million, which is a modest improvement over the third quarter of 2010. Payment Solutions revenue increased 2%, excluding the check business. Third quarter revenue declined on a sequential basis due to the peak tax processing revenues in the second quarter of 2011. While we are pleased with our progress in signing new clients, PSG continues to be challenged due to declining check usage, competitive pricing and consolidation within the client base.  Payment Solutions' EBITDA totaled $230 million, including approximately $4 million integration and severance costs. EBITDA increased slightly, excluding the onetime costs. EBITDA margin declined to 38% in the third quarter 2011 compared to 38.4% in the third quarter of 2010. As shown on Slide 8, International revenue increased 49.3% to $298 million and grew 21.9% on an organic basis. The continued strong performance was due primarily to higher card processing volumes in Brazil, as well as growth within Capco's European business, which continues to perform very well. As a reminder, we have now cycled past the anniversary of the Bradesco card conversion, which occurred at the beginning of October 2010. Although new card issuance in Brazil remains strong, we will face tough year-over-year comparisons beginning in the fourth quarter of 2011. International EBITDA increased 44.1% to $67 million in the third quarter. The margin was 22.5% compared to 23.2% in the prior year, reflecting the addition of Capco, continued strong growth in Brazil and approximately $1 million of integration and severance costs. To reiterate Gary's remarks regarding our European business, keep in mind that Greece, Spain, Portugal, Italy and Ireland account for only a small portion, less than 1% of our International revenue base. The majority of the revenue is recurring and is not discretionary. While we are monitoring the markets closely, we continue to feel good about our European business. Corporate expense totaled $83 million in the third quarter 2011 compared to $71 million in the third quarter 2010. The increase was driven largely by the reimbursement of $10 million of legal fees in last year's numbers, as previously discussed, and approximately $3 million of severance and M&A-related costs in the current period. Please turn to Slide 9 for a reconciliation of net earnings. Third quarter net earnings from continuing operations increased 6.8% to $189 million compared to $177 million in the third quarter 2010. The effective tax rate declined to 30.6% in the third quarter of 2011 compared to 36.6% in the prior year quarter due to federal tax planning strategies and a nonrecurring benefit related to our International business. We now anticipated a full-year tax rate of approximately 33% in 2011. Earnings per share increased 19.2% to $0.62 per share compared to $0.52 per share in the third quarter 2010. The only adjustment to our reported GAAP numbers in the current quarter is the after-tax impact of purchase price amortization of $44 million or $0.14 per share. Approximately $10 million of onetime costs, including merger, integration and severance costs, were included in the results for the third quarter 2010 -- I'm sorry, 2011. These costs, which were excluded from the prior year results, lowered earnings by approximately $0.02 per share in the current quarter. Minority interest reduced earnings per share by approximately $0.01 in the current quarter. As shown on Slide 10, free cash flow totaled $193 million compared to $220 million in the third quarter 2010. The decrease was primarily due to the interest on our senior unsecured notes, which is payable in July -- January of the year. Capital expenditures have declined to $82 million in the third quarter 2011 as compared to $93 million in the third quarter 2010.  As Frank mentioned, we purchased approximately 6.6 million shares during the third quarter, that will total cost of $181 million. 7 million shares remain under the February 2010 authorization, and our board recently approved an additional $500 million repurchase authority, which is effective through December of 2013. Debt outstanding declined to less than $4.9 billion as of September 30, and the weighted average interest was approximately 5.1% at quarter end.  Looking ahead to 2012, we have $215 million of mandatory debt payments coming due, in addition to our $325 million term loan A facility, which matures in January. We are monitoring the debt markets closely and currently anticipate that we will extend, refinance or use our revolver to retire the 2012 term loan A facility. Additional details on our debt are provided in the Appendix. Before opening the lines for questions, I will provide a few comments regarding our full-year 2011 outlook and share some initial thoughts regarding 2012. We continue to anticipate reported revenue growth of approximately 10% for 2011 and organic revenue growth of approximately 5% for the full year. We expect 4% to 5% growth in EBITDA for full-year 2011. As we guided in September, we expect that lower interest costs, shares outstanding, combined with more favorable tax rate will offset the EBITDA challenges in 2011. We are tightening our earnings outlook for the full year to $2.24 to $2.30 per share, which is an increase of approximately 11% to 14% of share compared to 2010. We expect free cash flow to come in slightly higher than adjusted earnings in 2011 due primarily to timing differences. Turning to 2012, while we have not yet finalized our 2012 plan, we want to share some preliminary thoughts regarding the overall market environment. We'll provide more detailed guidance at our Analyst Day, which is scheduled for February 14. As Gary outlined, we continue to expect a challenging economic environment for our clients in 2012. However, given the nondiscretionary nature of our services and our strong business model, we expect that we will continue to drive organic revenue growth in 2012. We anticipate that revenue growth within our International business will continue to outpace the North American growth, given the more mature market in the U.S., the highly-competitive environment and the ongoing impact of bank consolidations. We believe that improved operating leverage and our ability to manage costs will enable us to more than offset continued pricing compression and client consolidation in 2012. With that in mind, we expect EBITDA to grow more closely in line with our revenue in 2012 and expect the margin to be higher compared to 2011.  And finally, our thoughts regarding the cash remain consistent with our previous outlook. While we are focused on growing the business organically, we continue to look for opportunities to augment growth with mergers and acquisitions. That being said, the newly authorized share repurchase program provides us with additional flexibility to repurchase stock if we are unable to find deals that provide good strategic and financial benefits for FIS.  That concludes our prepared comments. Thank you for your time this morning. We look forward to seeing you all in Orlando on February 14. Operator, you may now open the line for questions.
Operator: [Operator Instructions] The first question is from the line of Glenn Greene, Oppenheimer.
Glenn Greene - Oppenheimer & Co. Inc., Research Division: I guess a few questions. I guess the first one would be kind of the fourth quarter implicit EBITDA ramp by Mike. Quickly sort of back of the envelope, I get about $490 million EBITDA. Maybe, Mike, if you can tell if that directionally make sense. And how do you sort of think about the ramp from 3Q to 4Q? And I know there are some seasonality there.
Michael D. Hayford: Yes, I think that's directionally correct. There is a little ramp going in the fourth quarter. There's always a little seasonality. I think as we stated throughout the year, we've had continued sales success heading back into last year. So we've got some backlog coming on board. So we feel pretty good about the finish to the year. So there's going to be a little ramp expected going in the fourth quarter.
Glenn Greene - Oppenheimer & Co. Inc., Research Division: No other sort of specific callouts or just sort of the normal seasonality. And I guess the question is, how do you get comfortable with that?
Michael D. Hayford: I think it's a normal seasonality. Again, it's the backlog of sales that we've previously closed.
Glenn Greene - Oppenheimer & Co. Inc., Research Division: Okay. And then not to press too much on the high-level 2012 comments, but sort of just suggesting some organic growth, I mean, people are going to walk away from this call saying that's kind of disappointing relative to what we're sort of seeing year-to-date, maybe with some of the commentary from some of your peers. And also related to that, it kind of sounded like flattish margin leverage.
Michael D. Hayford: Well, first of all, we're not really giving our outlook for '12 at this stage. So I think the message there is that even though the market -- there's a little choppiness and uncertainty in the financial institutions, we do expect to grow next year. And leave it at that, we expect growth will come out and share the level that we expect to grow when we do our call in the 14th of February. So the intent isn't to mean -- say anything other than we are going to grow. And secondly, in the margin, we thought it was important. As we looked at '10 -- '11 versus '10, we had some margin compressions in various areas, and we do apples-to-apples comparison. We feel pretty good about the underlying business continuing to perform. And so as we look at '12 versus '11, we just wanted to make a statement that we do expect we'll get some margin expansion in '12.
Frank Martire: So Glenn, our account was to say we expect growth next year. We will not look into the specific as to what that would be at this point.
Gary Norcross: And as we stated, I mean, we still have a very strong pipeline. We're not seeing any degradation in our pipeline, and we're continuing to close business out there.
Operator: Next question is from the line of Greg Smith, Sterne Agee.
Greg Smith - Sterne Agee & Leach Inc., Research Division: Can you just step back -- I mean, EBITDA has been shaded lower, and it seems like we're not getting that much margin expansion next year. But just what are some of the specific challenges that have come up this year relative to expectations a number of months ago?
Michael D. Hayford: Well, I mean, let's answer this in order. I mean, first of all, we're not saying how much margin expansion we're getting next year. We're just saying we're getting some -- I don't want anybody to read into that, that we're trying to indicate a level of expansion. And again, what we've tried to do in 2011, as we've gone through the year, is show you where the margin expansion challenges are. So if you look at a couple of the big items we called out, clearly, Capco has driven some nice growth. They've performed well in Europe. We've had some challenges in the North American market. And so overall, it's been diluted from margins. We've called out each quarter so you could see how that impacts -- again, our view in Capco is still very bullish for the long haul. I think they've done a nice job of moving their business forward, and we think the opportunities it allows for the broader FIS to get involved in some large transaction continues to be very improvement for us. We've also had some onetime items. And again, last year, those onetime items were not embedded in the EBITDA that you're looking at, so as you look at some of the integration-related costs or the onetime costs related to severance and M&A that we've called out each quarter. And then -- again, trying to look at last year -- this quarter, we had some items last year that were onetime of nature. So the margins are a little lower than we had anticipated going into the year. But compared to last year, we feel pretty good that we're maintaining our own and expanding them slightly in an apples-to-apples comparison.
Gary Norcross: Greg, this is Gary. Keep in mind as well, I mean, we talked about in my remarks for the last several quarters, we continue to see a trend towards services, professional services, outsourcing services, back-office services. They just come on in a much different revenue mix than our licensing business. So when we were going through our planning side, we've always solved that the larger institutions were going to look -- and all of the institutions would look to leverage scale over time to get more cost-efficient. But that trend is going faster through 2011 than what we thought.
Glenn Greene - Oppenheimer & Co. Inc., Research Division: Okay. And then just broadly on cost savings opportunities, I mean, where do we stand? Is there any low-hanging fruit left from all the acquisitions? Or are we largely done with that at this point?
Michael D. Hayford: Yes, I would say no longer a low-hanging fruit, but I would say we're kind of -- we're 2 years past the integration of Metavante. And I think Gary and the team continue to look for ways to get more leverage. I think going -- as we're looking through the budget process going into 2012, we'll continue to do that. And I think they're doing a nice job of finding some additional areas to get some leverage. We have to do that every year, as we've talked about in the past. And so I think we'll certainly get some of those going into next year. I don't think that there's simple things to do. I think the team has done a nice job of finding them.
Glenn Greene - Oppenheimer & Co. Inc., Research Division: Okay. And then just one last question. Any initial range for the tax rate next year, Mike?
Michael D. Hayford: I'll hold off on that. It's a little difficult year-over-year as you look at it. Part of the challenge this year versus last year, if your remember, last year, we didn't get to earn any credit until the fourth quarter. So fourth quarter rate was extremely low, and then the full year was -- came in. This year, the team has done a very nice job. There's some onetime things. There are some things that will carry forward into next year. But when we get to kind of the full-year outlook, we'll give you the tax expectations.
Operator: Next question is from the line of Dave Koning of Baird.
David J. Koning - Robert W. Baird & Co. Incorporated, Research Division: I guess, first of all, just on International. I mean, it's clearly evident you talked about the deceleration coming just with the very strong growth you've had the last 4 quarters and with the anniversary of the Brazil portfolio. How should we look at the mix of growth now, though? I mean, is that still a double-digit grower, that business as you kind of outlined before? And kind of how do the other 2 businesses, Financial and Payments, in North America may be offset? I mean, are those going to start to pick up the growth a little bit in Q4? It seems like the costs maybe are a little easier. Does that get a little better? How should we think about this kind of going forward the next couple of quarters?
Michael D. Hayford: Well, I mean, first of all, International, as you can see, we've had tremendous growth this year, much higher than obviously the teams that we would anticipate long-term. But as we shared some of this, it's going to be -- we're going to grow over the Bradesco conversion. Just keep in mind, we still expect very strong growth in that whole Brazil operations. It just doesn't have the onetime pop again after the conversion. So our long-term expectation for International continues to be double-digit. We still think that's going to be a much faster growth market for us than the U.S. market. Your points on the rest, FSG had very good growth, the first 2 quarters of the year. Third quarter really was just some grow over challenges of some licenses that we had booked third quarter of last year. So I'd expect that to pick up again in the fourth quarter. PSG has been a challenge for us. We're seeing a lot of movement, a lot of activity around -- coming out of Durbin. Even day by day, the bank's kind of changing the strategies. So I think we've still got to wait and see how that comes out. The team's done a nice job of maintaining earnings in that area. And we do expect that we're going to get a little bit better growth than we've seen recent quarters. But that PSG is going to continue to be a tough business. FSG, we expect third quarter is more of an anomaly for the year than the norm. And International, we're still pretty bullish on that long-term.
David J. Koning - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then just a few real quick ones. There's -- I guess you sold your portion of monetized, the 51% U.S. portion that you own. Is that in guidance? Is there going to be a gain in Q4 from them? Is that in guidance?
Michael D. Hayford: No, that wasn't in my outlook that I gave you. We're still doing the accounting, but there will be -- we expect a slight pickup on this. It's just the way that worked out. Just to clarify, we basically sold that portion of the JV, but took equity in the parent company. So we're still very involved in monetized.
Gary Norcross: And have a lot more commercial arrangement.
Michael D. Hayford: Yes, and have a partnership going forward if nothing else change the structure a little bit.
David J. Koning - Robert W. Baird & Co. Incorporated, Research Division: Okay, okay. And then the other 2 quick ones are just, what was Capco's year-over-year growth in Q3 standalone? And then is the minority interest, the $3.9 million or whatever that was, a lot higher than normal? Is that going to stay higher? Is that going to go back to the $1 million-or-so quarter?
Michael D. Hayford: Well, the minority interests are tied to our JV down in Brazil. And so as that grows, that number is going to continue to grow. So we expect Brazil to continue to perform so that number would continue to be at that level or hopefully go up, right, as we get more earnings. Capco North America, relatively flat growth year-over-year -- sorry, the European operations had very strong growth year-over-year. So Capco European organic growth year-over-year in the third quarter, the Brazil JV third quarter and then as we've seen the rest of the year, the International business outside of that has also had continued strong growth.
Operator: Next question is from the line of Peter Heckman, Avondale Partners.
Peter J. Heckmann - Avondale Partners, LLC, Research Division: As regards Capco and some of the expertise that it brought in the capital markets area, can you talk about some of the projects or some of the demand drivers within capital markets that might be driving some professional services work or strategic consulting, and then any success in kind of pouring that expertise over to the U.S. or other markets?
Michael D. Hayford: Well, I think on the capital markets side, that's one of their -- they get 4 really domains that they focus their consulting business in, and capital markets being a very strong kind of legacy of that organization that contained -- has a lot of success. There's a couple of deals we didn't share today that they're finalizing, particularly in Europe. The capital marketplace has the same kind of pressures and challenges of commercial banking and retail banking. And I think their position and reputation in that market is extremely strong. So they've continued to do well. And we'll talk with some of the deals as we get those signed and ready to announce. I'd say bringing capital markets expertise, obviously, we've got a limited or less than capital markets. So I'd say it's more of those relationships in those financial institutions where it provides value to the rest of FIS. So they generally have a higher level of relationship, where they've worked with more C-level executives over the years and have formed deep relationships. And that's been a tremendous success, bringing FIS in for those discussions, dialogue, it's early stage solving. The business challenges that the FIS have, whether it be efficiency, whether it be kind of new technology of products, changing markets or regulatory, and then it's generally earlier stage and responding to our piece. So we've been pretty excited about that level of access to the executives that they brought to us.
Gary Norcross: And keep in mind, Pete, I mean, as Mike stated, they have 4 domains. So it's just not purely capital markets. And we're seeing a lot of consulting engagements in and around this transformation in both Europe and North America, where these larger clients were struggling with getting more efficient. And also, while the North American growth rates and the EBITDA production has not been what we expected, as we shared with you in the prior call, that was due to a very, very large single client loss. So the team there in North America has done a very good job of selling through that. And now they have a far less concentrated client base. So they have far less exposure. So that organization is in much better position going forward and seeing consulting engagements across all 4 of their domains.
Peter J. Heckmann - Avondale Partners, LLC, Research Division: Got it. Okay, that's helpful. And then as regards, you brought in the bill payment for BMO Harris. Can you talk about the conversion of M&I and BMO to systematics, how that's going and when do you expect the final conversion?
Gary Norcross: Yes, well, we're still working through it with BMO Harris. As you guys are aware, we've talked about them in prior calls. We have the processing relationship with BMO Harris and also with M&I. So as we pulled these 2 groups together, right now, the conversion is scheduled for third quarter of next year, but we're still working through the details of that. And there are going to be components like we mentioned this quarter, where BMO Harris came on with their bill payment on our entire solutions stack. So obviously, M&I was using us for bill payment services as well. So that gets combined together. So we're trying to stage the project. Any project of this size will require some staging. And we expect a significant long-term relationship with the combined entity.
Operator: Next question is from the line of Brett Huff, Stephens Inc.
Brett Huff - Stephens Inc., Research Division: A quick question, just trying to get a little more quantification, if possible, on the Capco U.S. big project that went away. I think it was in mid-1Q that you started talking about it. Can you give us any sort of how big that is, what kind of impact that had on organic growth for the company or in the North America segment this quarter?
Michael D. Hayford: I don't know quarter-wise, but that was -- last year, the client that was driving approximately $60 million of revenue to Capco. And this year, it's probably under $10 million or around $10 million. So again, it was the largest client, significant client. It was a surprise to Capco and us. Obviously, it was one of these situations where it wasn't project-related or even technology investment. It was a business decision at the FI level, and not just in this project, but across the board in terms of what they decided to going forward. So, I mean, you can see the impact on a year-over-year basis, that was a pretty strong revenue stream for Capco last year during fourth quarter, and then this year, it's much, much smaller.
Brett Huff - Stephens Inc., Research Division: Sure. And then just in terms of the conversations with clients both in the U.S. and I guess specifically in Europe, Gary, I always appreciate your insight into that and kind of what they're asking, what they're thinking. Has anything really changed versus last quarter in the U.S.? And what has changed in the conversations versus last quarter in Europe?
Gary Norcross: Brett, I appreciate the question, but it really hasn't changed that much quarter-over-quarter. I mean, whether you're in Europe, whether you're in Asia, Latin America or North America, our clients are looking to -- for help and they're looking -- and our prospects are looking for help. And they're looking for primarily leveraging it through the services side. So that's why we continue to see that growth in services quarter-over-quarter. Everybody wants to leverage our scale. They realized they can no longer afford to run their legacy applications. They no longer afford to continue with large in-house development shops. And so they're looking for ways for us to help transform them in a more cost-effective way. And so that really hasn't changed over the last 2 quarters. And if we monitor our pipeline very closely and we can [indiscernible] you just see just more and more demand in those areas.
Brett Huff - Stephens Inc., Research Division: Okay. And then you called out some pricing in Payments. Mike, can you -- any more specific detail on that? Has that gotten worse than prior quarters? Or is that just sort of reiterating the fact of life in sort of processing?
Michael D. Hayford: Yes, I think that's more just kind of how the business works. There's been some compression. We see it every year as we put our plans together. I don't know that I'd say it's significantly worse or different this year or this quarter. But it is -- part of the Payments' challenge, as we talked about, is the check secular decline. You've got some pricing pressure, which is normal. You've got some consolidation of some customers in that business. And then we had a little slow down, as we talked about in the past, people waiting to see the outcome of the Durbin and how that would impact them. And I think quite frankly, we're still going to see a little -- we'll just have to wait and see where institutions come down and what they're going to do with their debit programs and...
Gary Norcross: [indiscernible]
Michael D. Hayford: And it's changed, right? It changed week-by-week.
Brett Huff - Stephens Inc., Research Division: And then any -- just last quick question on housekeeping. The corporate cost run rate, it's moved around a little bit. Any -- what's a good number going forward, if there is? And will that jump around?
Michael D. Hayford: Well, I think if you normalize this quarter, it's similar to last years' quarter, so in the 85 to 90 range.
Operator: Next question is from the line of David Togut, Evercore Partners.
David Togut - Evercore Partners Inc., Research Division: Gary, your opening comments were very helpful in terms of client trends. Could you elaborate a bit as you kind of, let's say, start with community banks up to mid- to large-sized banks in terms of unit demand trends and financial segment? And also if you could layer on some insights in terms of unit pricing trends.
Gary Norcross: Yes. Yes, I'll be happy to do that. When you look at community institutions -- let's just start there. That was where you started. If you look at community, there's still an element of community institutions that are struggling with survival. We continue to see FDIC closures or arranged marriages in the market. But I would tell you, there's a very large portion of community institutions that weathered the storm and making some investments, as evidenced by our core wins and some of our competitive cross sales. Interesting, towards the latter part of the third quarter, we saw a spike in our new account openings due to some of the fee generation, tactics at the large financial institutions put in place. As you guys are aware, a lot of those institutions now have pulled back on those fees. But there really -- we really could see an increase of account movement to those community institutions. And obviously, that benefits us because we do so much outsourcing in that space, we'll get increases and account volumes on the core banking side and get increases on the transaction side on our Payments businesses. So yes, I think the majority of the community institutions have weathered the storm, and they're starting to make strategic acquisitions and strategic investments. When we move up in the mid-tier market, once again, we're a very, very large provider in that space, heavily tied to outsourcing. Mid-tier and large financial institutions both are really driving a lot of services business for us. Those services are coming really in 2 forms. So keep in mind the data processing that we always provide and the payment processing. But when I talk about services, I'm talking about IT services. They either drive implementation where our financial institutions are acquiring other financial institutions. So we'll continue to see very strong demand in that area. We're also seeing unique enhancements in support of our clients driving programming services into their organization to make it more efficient as well. So when you get start moving up in that market, you see a lot more of the acquisitions occurring. We think -- as I shared in my comments, we think we're very favorably positioned there, given our market share in mid-tier and LFI, and we've seen that over the last several quarters with our business growth in those areas.
Brett Huff - Stephens Inc., Research Division: And could you elaborate also on unit pricing trends in each segments as well?
Gary Norcross: As Mike shared, the pricing compression has been -- I've been in this business for well over 20 years, and we've always seen some form of pricing compression. It's a competitive market. Are those pricing compressions increasing? I would say, slightly, yes. But I would also tell you that we're -- given our scale, we're able to compete very, very effectively in that market because of our scale. The nice thing that's playing in our favor is because of the undisputable trend towards outsourcing, not only your data processing but your professional services, your back-office services. Because of our scale in that area, it really puts us in a very nice position on that front.
David Togut - Evercore Partners Inc., Research Division: Just finally, Mike, a question for you. I think Greg asked a little earlier about the cost picture. Your principal competitor has, I think, a very sizable cost takeout program in place. I mean, since you're in the same businesses essentially, why wouldn't you start a more formal quantified cost takeout program to help margins longer-term?
Michael D. Hayford: Well, first of all, we've had one, right? We've had one as part of the merger integration with FIS and Metavante. I think because they've chosen to share a 5-year plan and lay that out, we -- as part of our annual budgeting cycle and going through this that we talked about, Gary and his team described it, too, and they find ways to take out costs. It's the nature of our business. You have to do it every year. And that's part of how you get your earnings growth, and it's part of how your expansion. So I appreciate the input. We look at how we do that, how many years we set a target. But I think we've talked in the past about kind of the basis points per year that we target. And when we get to our Investor Day, we'll clearly lay that out.
Gary Norcross: Yes, I was just going to add a little bit. Historically, just look back on our -- I mean, we've always been very prudent with our expenses. And we -- to Mike's point, we've always -- the team's done an excellent job of managing their expenses. And instead of making a big deal about it, we just -- we expect our teams to be more efficient each and every year in the services they deliver. Now there are going to be occasional exceptions. But as Mike said, we're going to the 2012 process. We're just, like every year, scrubbing our businesses, building out our plans and being very focused. And we want to make sure that we get margin expansion in 2012 and continue to grow our business. And so that's the way we've always run the company.
Frank Martire: David, this is Frank. It's not clear why -- the announcement on expense takeouts. It's how we run our business each and every day. I will tell you, as we go through the budget cycle, if we feel we need to get more aggressive in our operations and expense takeout, we'll do that. So that's clearly something we look at. But we're going to do that as a course of business. And if we feel those are the steps we need to take, then we're all for it, and we'll take those steps.
Operator: Next question is from the line of Ashwin Shirvaikar, Citi.
Ashwin Shirvaikar - Citigroup Inc, Research Division: So if I paraphrase your margin comments, you said you had the ability to offset such things as revenue mix, pricing and so on for 2012. You provided some details on pricing there. Are there any other onetime factors we need to worry about for 2012 that we need to account for other than revenue mix and pricing?
Michael D. Hayford: Well, again, I think our business, as we look at it going forward, it's been this way. You've got the pricing compression, you've got consolidation in the marketplace and then you've got the opportunity within our install base. We do get to push through some increases in some parts of the business. You get volume growth. Gary talked about our customers adding accounts, adding -- consolidating with banks. And then you sell and you grow. I think the story portrayal is going to be very similar. We've shown that we can do that and get top line growth. But those headwinds are not something new. Again, we haven't seen dramatic changes. We have that in '08 and '09, but we haven't had that kind of ongoing. It's been more normalized compression and loss. And that would be our expectation going into '12. So we'll certainly lay that out, but I think you should look at in, say, '12 normalized year, challenging as ever. But we expect sort to grow.
Ashwin Shirvaikar - Citigroup Inc, Research Division: Okay. And use of cash, what's your thoughts between M&A versus debt paydown versus buyback? How full is your deal pipeline looking? Any comments on deal pricing?
Michael D. Hayford: Well, I mean, so we've got debt we have maintain -- we talked about what our mandatory payments are next year. We think we've done a nice job of deleveraging from the recap last summer and continuing to move towards our EBITDA multiple targets that we've had. Secondly, we always are out in the market looking for acquisitions. We still think there's opportunities to do some acquisitions with some of the private companies we brought in the past, expand market share, diversify internationally or other segments in the market where we can get higher growth. So we will continue to look at that. And then as you've seen, if we can't find the right fit strategically with the proper financial return, we'll use some of that cash flow and buyback shares in our board. It's allowed us the flexibility with the renewal of our buyback program to do more of that. But we're still pretty bullish on finding some deals to get some added growth and continue to consolidate the marketplace.
Ashwin Shirvaikar - Citigroup Inc, Research Division: Any comments on deal pricing there?
Michael D. Hayford: I'd say the deal pipeline is very active. I think we'll continue to see -- we've seen this probably the last 3 or 4 years that institutions like to have a vendor size and scale. They like to have a provider who's going to around for the long haul. They like to have a provider that has a strong balance sheet and cash flow to reinvest in the business, and they'd prefer to work with fewer vendors that they have some leverage with and broad relationship. And so I think we've seen companies that don't fit all these characteristics continue to come up as potential opportunities for us. I'd say the pipeline is as active as ever. And again, we think there's some nice opportunity to pursue. I'm not quite as bullish on the pricing expectations. I think that we go through these cycles where pricing is always pegged to the highest valuation in a historical sense as opposed to a future sense. And so we said to be disciplined as a buyer and make sure we don't overpay, we get the right value out of an acquisition.
Frank Martire: That's right. So we have an eye for growth, clearly, organically but clearly also with acquisitions. But we will be prudent in what we would spend financially to make sure there's a return on the business. But we clearly do have an eye towards acquisitions, and we want to grow the company that way, along with organic growth.
Operator: Next question is from the line of Julio Quinteros, Goldman Sachs.
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: Mike, maybe just to go back and try, I guess, continue to be on this 2012 commentary a little bit more. You do expect to see organic growth, and on top of that, you do expect to see EBITDA margins expand. Is that correct?
Michael D. Hayford: Yes. I mean, that's the 2 comments we've made that -- and here's why we're making these comments. I think we've gone through periods, and the last couple of months have been a fair amount of noise about financial institutions, particularly in Europe. And while we think there are continued challenges, the nature of our business, because of what we do and how important we are to FI, we still think there are opportunities for us to grow. And so we just want to make the statement that we don't -- while we see it's challenging, we still see it's a growth market for us, and we're going to get growth in 2012. Comment on margin is, if you look back at our history the last 5 years, I think we've done as well as anybody, taking our EBITDA margins and improving them. This year, we've explained year-over-year, if you do apples-to-apples, it's a pretty solid margin story. But at an absolute level, it's a little lower than people would look at what we had anticipated. So going into '12, that's a focus of Gary and his team to find out where we can take -- make improvements, focus on mix, focus on taking costs out and getting some margin expansion in 2012.
Frank Martire: So if you look at that, we clearly expect to have organic growth next year, okay? To clarify that point one more time. And also, there will be a very clear focus on margin expansion into 2012 from the top management of this company on down.
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: Understood. And maybe just 2 other quick points. On the point about consolidation in the industry, is there something specific that you guys are expecting to materialize in 2012, a large client going away or something along those lines that would cause you to flag that? I'm just a little surprised because consolidation happens all the time, but it just seems like this time, at least you guys pointed out, you went out of your way to make it a point.
Michael D. Hayford: No, I mean, I think we try to make it a point every quarter that we have consolidation. We talked in the past about the one, and we got the questioning in today. M&I has been merging with Harris. We're looking through that. We're sitting on both sides. But I think we've been pretty upfront that as that moved, we think it's going to reduce our revenue stream over the long haul, but still be a significant client. But no, we don't -- I mean, we're trying to highlight any additional consolidation other than the ongoing risk in the marketplace. But I think we've highlighted that consistently.
Gary Norcross: Yes, these are risks that everybody's exposed to in the industry. In fact, we've highlighted a number of time on calls just the fact that our position in the mid-tier and large financial institution, actually, consolidation could play to our strength, right? Because a lot of the acquisitions that are occurring is the mid-tier and larger institutions doing their acquiring. So -- and doing the nature of our leverage model. So it's just an industry issue.
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: Got it. And then just lastly, the ATM guys, the Diebolds and NCRs of the world, have reported really strong order growth from the small- and community-sized banks. Just trying to juxtapose a little bit in terms of where the priorities could be right now for the banks. When you sort of lay out core versus some of the channels, whether it's the retail branches themselves or the ATMs, is there something interesting happening in the industry here that seems to be driving a little bit more spending on some of those ATM technology versus the core systems? Or do these things kind of happen in sequence and we're sort of in a natural course of the sort of the upgrades that have to happen? I'm just curious on how that eventually impacts the core as we start thinking about kind of the next couple of years here.
Gary Norcross: Yes, I mean, it really is cyclical in nature. If you look at it, we do see and we highlighted in my remarks several financial institutions that are going to our TouchPoint channel suite. And so we are see investments in channel. When you're looking community institutions specifically and their upgrading of ATMs, as I said in an earlier remark, you're seeing a natural progression of these community institutions who have survived the storm and they're making investments. Some -- a lot of the ATM technology, especially in community institutions, is very old. And what they're doing is they're upgrading their technology to compete with the large financial institutions. Some of the newer models provide some efficiencies with image capture and some of those things, and that helps push activity out of the branch at a more cost-effective level. So in general, it's just really a cycle. But we are seeing clients invest across the channels, especially in the channels that can drive more cost-effective deployment of those same services.
Michael D. Hayford: Now, I would -- now that [ph] to us is I think we still continue to believe there's some institutions out there and probably more mid-size and large who are running legacy environments around core or customer or channel that need to be upgraded. And as they continue to stabilize their balance sheet, we expect that to be opportunity in the future.
Gary Norcross: At the end of the day, the financial institutions out there are looking at just every area to help drive cost efficiencies. And coming down more modern core-like FIS provides on an outsourcing basis, leveraging our scale and services, leveraging our solutions across the channels, all benefit them from that standpoint.
Operator: Next question is from the line of Tien-Tsin Huang, JPMorgan.
Tien-Tsin T Huang - JP Morgan Chase & Co, Research Division: Just a couple of questions, I guess. Mike, just the International, what was the growth, excluding the Brazilian JV? And tied to that, sort of Gary, what's the outlook for sort of new wins inside the Brazilian JV? What does it look like organically or inorganically?
Michael D. Hayford: Tien-Tsin, I don't have it right in front of me. I mean, again, the 3 components of International growth, JV grew well. Year-over-year, we have a conversion [indiscernible] which was kind of a onetime profit. And on top of that, they continue to add new cards each month. Capco had very, very strong growth in Europe. And then the rest of the business, Gary's team has done very well as well. So I don't have the split right in front of me.
Gary Norcross: Let me speak to the sales efforts within International, and I think specifically, Tien-Tsin, you asked about the JV. To Mike's point, we are seeing good, strong -- continue to see good, strong organic growth on cards. We're up to about 48 million cards on that environment today. We're seeing a very nice pipeline of expanding services across those client basis in the joint venture. So we're still very bullish on the joint venture going forward. When you really step away from the JV, though, the International story is very positive. I mean, we're having strong sales success in Europe and Asia and really all of the regions. And really, it's across a combination of core and Payments. And we talked a lot about that at our Investor update last year. We'll talk about it more again this year. But all in all, the International story is a very strong one, and we're seeing nice organic benefit across all those areas.
Tien-Tsin T Huang - JP Morgan Chase & Co, Research Division: Good, good. That's good to know. Just this last follow-up, just on the U.S. side in debit. I'm curious, is it biased still to think that post-Durbin, you'll see it to be a positive there within the debit in the ATM business? Or has it tone-changed a little bit there?
Gary Norcross: I think debit's bouncing all over the -- I mean, I think Durbin's bouncing all over the place. I mean, it seems like every week, there's -- someone's got another idea or a different approach. We're still cautiously optimistic. We had some very strong success in sales across our NYCE Network. We've seen very strong growth there. We've seen nice transaction growth in debit. And so I would say we continue to be cautiously optimistic about that going into 2012. But it's going to continue to bounce around as LFI is greater than $10 billion. Try to understand what this means for the April deadline.
Tien-Tsin T Huang - JP Morgan Chase & Co, Research Division: Yes. [indiscernible].
Michael D. Hayford: Yes.
Gary Norcross: Yes.
Michael D. Hayford: Tien-Tsin, back in Brazil cards. So if you remember last year, we convert them, we sent about 40 million a year. So [indiscernible] 10 per quarter converted, and it's growing on top of that. So it's probably 12 million, 13 million as to growth year-over-year in card.
Operator: Next question is from the line of Bryan Keane, Deutsche Bank.
Bryan Keane - Deutsche Bank AG, Research Division: I just wanted to clarify the lengthening in the sales cycle. Is that just in International? Is that both International and North America. And maybe, what's driving that?
Gary Norcross: Really, I would say in general, it's across the board. And I think it's just -- I think at the end of the day, it's economic. We're also seeing our pipeline grow, and we're continuing to close a lot of business. And we feel very comfortable about our sales performance going in 2012. But because of all the regulatory uncertainty around Durbin, for example, we're still seeing some hangover and people trying to figure out what decisions they're going to make and how that goes. But what we're finding is our -- also, our proposals are more broader in nature than they were in the past. So as I shared earlier, our clients are really looking for a more holistic solution across the board, whether it's channels, branch, delivery, core and back-office. And so it just takes time. And so we're not concerned about it, but it is -- but the deal flow is lengthening. But the pipeline is continuing to grow. We continue to sign some very good business, and we're seeing it across the globe.
Bryan Keane - Deutsche Bank AG, Research Division: Okay, that's helpful. And then, Mike, I might have missed it. But did you give the professional services and license sales numbers year-over-year? And I don't know if there's a way to look at that organically with Capco in there.
Michael D. Hayford: No, I didn't reference that. And again, Capco year-over-year is a pretty strong growth, particularly in Europe. U.S. is actually relatively flat as we talk about year-over-year because of the loss going to client. But PSO year-over-year is about 8% growth. And then software is actually down. We talked about some large sales [indiscernible] last year. That's down about 12% year-over-year.
Bryan Keane - Deutsche Bank AG, Research Division: Okay. And then just last question. I think part of the confusion on '12 was I think in your comments, Mike, you expected EBITDA to grow flat or to grow in line with revenue growth. So that would be -- unless I got that -- I wrote that down wrong, that would mean -- you wouldn't see EBITDA margin expansion. But obviously, you guys reiterated several times that you are going to see EBITDA margin expansion. So maybe you can just clarify the difference there.
Michael D. Hayford: No, I mean, that's a good catch. In line, plus, right? So it's going to be slightly higher than the revenue growth because we're going to get margin expansion. So I guess the message is top line growth and then our EBITDA is going to grow slightly faster than our revenue growth.
Frank Martire: So we may have caused some confusion there, Bryan, but we will have EBITDA margin expansion in 2012.
Gary Norcross: Absolutely.
Operator: Next question is from the line of Dan Perlin, RBC Capital Markets.
Daniel R. Perlin - RBC Capital Markets, LLC, Research Division: Mike, I was wondering if you could, I don't know, qualify maybe a little bit how we should be thinking about the margin differential for your outsourcing versus license, if that mix shift occurs next year. And then really the relative size of those deals historically or how they're being kind of packaged in RFPs.
Michael D. Hayford: Well, on outsourcing versus license, it's not just license businesses, according to your book, that it's almost -- well, it is all profit, right? So you booked at 100% margin that quarter. That's why the year-over-year comparisons are tough. I think we look at the license business more in totality and look at year-over-year of the amount of license fees that we're going to book consistent with the prior year. And so as we work through the '12 plan, we'll be looking at that. But licensing, if it's 100% margin, our outsourcing business, you can assume it's kind of our average margin of our business, somewhat higher. It's generally run higher than PSO over the long haul, but again, can be higher margin in the short window. But again, software, I guess matched up with a software or you got to drive higher outsourcing. Gary pointed out that, I'd say, the deals were engaged in -- we like outsourcing opportunities that are more than a single product. So we like multiple products. We like kind of a broad base of solving a business challenge, creating a business solutions as opposed to just single product technology solution. We think we have a broader breadth of products out there, and we're able to go in with more scale than most of our competitors. So those are the kind of deals. I think when Gary talked about elongating the pipeline, those take longer to sell.
Gary Norcross: Exactly. And keep in mind, I mean, we talked a lot about margin expansion and the fact that we're going get it in 2012 as we have historically. One of the ways we get there is cost actions. One of the ways we get there is we've got a lot of leverage in our leverage processing environments. And so that naturally drives margin expansion as well. When we talk about software, keep in mind, we're trying to identify for you guys trends we're seeing in the market. And I think it is safe to say that going into 2012, we think that trends going to continue to be going towards outsourcing because that's where the financial institutions can truly get the most benefit. So as we're going to our 2012 planning process, do we think software is going away? No. But we do continue to think that there'll be a trend where more and more of our deals will go on an outsourcing basis.
Daniel R. Perlin - RBC Capital Markets, LLC, Research Division: Okay. So that absolute dollar for those deals, in addition to the mix shift, it sounds like it's also getting bigger given the multiple product facet. So let me just shift...
Gary Norcross: An outsourcing transaction on a revenue basis is typically much higher.
Daniel R. Perlin - RBC Capital Markets, LLC, Research Division: Yes. And increasing with more products even so?
Gary Norcross: Exactly.
Daniel R. Perlin - RBC Capital Markets, LLC, Research Division: So that should be good for leverage. As we just kind of think about kind of cleansing some of the onetime stuff, so you made it sound like Capco had a negative $50 million kind of hit-tish this year with that North America client. So we won't have that next year, but Bradesco probably added the incremental $30-or-so million with that portfolio, which we also will not have that year. Is that correct?
Michael D. Hayford: Yes, I think those numbers are pretty accurate with what we've talked about.
Daniel R. Perlin - RBC Capital Markets, LLC, Research Division: Okay. And then as we look at Capco's business and kind of the, I guess, evidenced to win larger RFPs, are you finding that you've been pulled into all of those deals that you would have expected to have been pulled into this year or kind of left out for a lack of a product set that maybe you didn't have. I'm just wondering how that has played out thus far.
Michael D. Hayford: Well, I think as we shared, I think we've been very pleased with the type of discussions and dialogues. So I mean, 2 types, one is just engaging at the executive level on vision, direction, where FIS can help at a broader level than just the Capco consulting side to help institutions. And then very specific transactions where we're able to go in. In some cases, initiate a dialogue and put a proposal on the table that the client was not even considering or engaged in and look at where we can help them with their product and their efficiency. And in some cases, our clients, as FIs all over the globe are struggling more and more to become more efficient with the cost structures where they reached out and we've come in with kind of a broader proposal. So again, it's the discussion dialogue as well, probably better than we had expected when we did the Capco transaction. These things take a lot of time. We need to get them signed and announce them, share with you guys. But we're still very pleased with the type of discussions, the type of opportunities we're seeing.
Frank Martire: Yes, we've gotten into some level of organization, globally, that we would not been able to do, quite honestly, on our own as FIS before Capco. So that's been very, very encouraging. So now what we're looking to is, as Mike said and Gary, just close some deals.
Daniel R. Perlin - RBC Capital Markets, LLC, Research Division: Does that make your business a little bit more lumpy, do you think?
Michael D. Hayford: Actually, I think it will take to the opposite. I think it will -- because the type of transactions are going to be more recurring, long-term contracts.
Gary Norcross: Yes, more transformational in nature. And I'll have a heavy services component and heavy delivery components really bringing our strengths to the company to bear for these financial institutions to help transform their institution.
Frank Martire: End result should be less lumpy.
Gary Norcross: Exactly.
Operator: And our final question is from the line of Andrew Jeffrey, SunTrust.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: I just wanted to elaborate or ask you to elaborate a little bit on David's question with regard to the domestic competitive environment. And I realize that pricing has always been sort of modestly negative in this business. But is there -- is it your sense that because the market has the outsourced processing market as consolidated as much as it has in the last few years, that increasingly, it's a 0 sum game whereby you and your largest competitor are kind of going head-to-head for business across a financial institution spectrum? Or would you encourage me to think about that differently? I'm just trying to get a little more nuance on the competitive environment.
Frank Martire: I think, Andrew, a couple of points there. I think Gary talked about and Mike some. First of all, is there a price compression? Yes, it is there. And Gary even alluded to the fact that maybe it's a little bit greater than it's been in previous years. But we have the size and scale that we could deal with that. As far as our competition, I think we'll be careful -- you talked about our major competitors. There's a couple of others out there who aren't the largest and who are highly-competitive. They have some very good products. And then there's the whole card side of the business, too, where we have other competitors. So when we look at that landscape of competitors, we don't look at just one. There's multiple, probably 7, 8, 10 different competitors we look at, depending on what products we're selling. And I don't think you should just look at it as just the largest out there, but there's some others who are very -- have very viable good products that we compete against.
Gary Norcross: Yes, and to build on that, Andrew, I mean, it does change by the market. So we don't see our traditional and domestic competitors anywhere in our International markets, all right? We see a whole different level of competitors. When you're looking at the North American business in the community markets, I think there are a lot of competitors out there across both payments and across core processing. Interesting, as you move up in size, our largest single competitor in the large financial institution is the in-house developed software, right? So that's a different competitor than you might think. So really, you have to look at it by market, you have to look at it by geographic region. It's a competitive market out there. We don't, by any stretch of the imagination, think that there's just one competitor. We see a lot.
Frank Martire: And to reinforce Gary's comment, we have a very large International business. When you look at that side of competitors, it's very, very different than what we have domestically.
Michael D. Hayford: I would say, Andrew, to the domestic kind of [indiscernible] outsourcing market, community banks, mid-tier banks. We continue to believe it's going to be a small handful of providers who are going to be successful long-term. So whether it's 2 or 3. But it's not a lot that are going to compete nationwide. And I think we still have a belief that with that marketplace, there's an opportunity to continue to win deals, but also to be more price disciplined over the long haul.
Gary Norcross: Exactly.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: Okay, that's a really helpful color. And then final one on Capco. Are there any other callout customers where you have sort of event risk? Or how do you manage that when you look at the Capco business in light of the kind of the surprise you mentioned that occurred this year?
Michael D. Hayford: Well, I mean, the answer will be no. Again, with a very large client that they had, it was circumstances behind it, where not something I think any of us would have predicted sitting in the room or any of you listening would have predicted a year ago. They've done a great job through necessity of diversifying their revenue streams. So while they have some clients larger than others, they have a much broader customer base. They have a much broader pipeline, they have a great group of partners that go out and sell. So I think as we're sitting here today, we feel much better about their diversification and to minimize any changes or impacts going forward.
Frank Martire: Andrew, as far as good news, bad news, you hate to lose one that large or decreased that much, but they diversified so well that we think we're in a much, much better position going into 2012.
Mary K. Waggoner: Thanks again, everyone, for joining us this morning. Please remain on the line for the telephone replay instructions.
Operator: Thank you. Ladies and gentlemen, this conference will be replayed starting at 10:30 a.m. Eastern Time today and will run through November 15, midnight. You may dial the AT&T Executive Playback Service by dialing 1 (800) 475-6701, with the access code 219066. International callers may dial area code (320) 365-3844, access code 219066. That does conclude your conference. We do thank you for joining while using the AT&T Executive TeleConference. You may now disconnect.